Operator: Good day, and thank you for standing by, and welcome to the PerkinElmer's Third Quarter 2021 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers’ presentation, there will be a question-and-answer session. . As a reminder, this conference is being recorded. . I would now like to hand the conference over to your speaker today, Stephen Willoughby, Vice President of Investor Relations. Please go ahead.
Stephen Willoughby: Good afternoon, everyone, and welcome to PerkinElmer's Third Quarter 2021 Earnings Conference Call. On the call with me today are Prahlad Singh, our President and Chief Executive Officer; Jamey Mock, our Senior Vice President and Chief Financial Officer; and Peter Wrighton-Smith, Founder and Chief Executive of Oxford Immunotec. If you have not yet received a copy of our earnings press release or slide presentation, you may find copies of them on the Investors section of our website at perkinelmer.com. Please note that this call is being webcast and will be archived on our website. Before we begin, I'd like to remind everyone of the safe harbor statements that we have outlined in our earnings press release issued earlier this afternoon and also those in our SEC filings. Statements or comments made on this call will be forward-looking statements, which may include, but are not necessarily limited to, financial projections or other statements of the company's plans, objectives, expectations or intentions. These matters involve certain risks and uncertainties. The company's actual results may differ significantly from those projected or suggested by any forward-looking statements due to a variety of factors, which are discussed in detail in our SEC filings. Any forward-looking statements made today represent our views as of today. We disclaim any obligation to update these forward-looking statements in the future, even if our estimates change. So you should not rely on any of today's forward-looking statements as representing our views as of any date after today. During this call, we will be referring to certain non-GAAP financial measures. A reconciliation of the non-GAAP financial measures we plan to use during this call to the most directly comparable GAAP measures is available as an attachment to our earnings press release. To the extent we use non-GAAP financial measures during this call that are not reconciled to GAAP in that attachment, we will do so promptly. With that, I'll now turn it over to our President and Chief Executive Officer, Prahlad Singh. Prahlad?
Prahlad Singh: Thank you, Steve, and good afternoon, everyone. Reflecting on the third quarter of 2021, I can confidently say that our efforts, our investments and our business performance together truly reflected the essence and impact of the new PerkinElmer, a concept we introduced at our analyst meeting back in June. The operational improvements, recent acquisitions in life sciences and diagnostics, R&D investments in the food and applied markets, accelerated innovation across the Board and a ramped up focus on culture, employee engagement and technological innovation have collectively been bearing fruit. While there is still significantly more to come, I think between our very strong financial results and the additional color that Jamey, Peter and I will share with you today, we will further illustrate the immense incremental value we are delivering to all our stakeholders now and are positioned to do so well into the future. To stay on this idea for a moment, our ongoing portfolio transformation into higher-growth end markets continued during the third quarter as we closed on our previously announced acquisitions of SIRION Biotech and Immunodiagnostic Systems. We also announced and were able to fairly quickly close on our largest acquisition to date, BioLegend, 3 months ahead of schedule. I'll touch more on these great recent additions in a bit, but I'm thrilled to see the initial teamwork that is already occurring between these businesses and the rest of PerkinElmer. While collaborations are already underway, I expect there will only be expanded and turbocharged coming out of a company-wide innovation summit we are hosting in a couple of weeks. I'm very proud of how our now 15,000 employees around the world have continued to execute during the third quarter despite facing existing challenges and even starting to come across some new ones. While Jamey will provide more details in a bit, I'd like to highlight the 16% non-COVID organic growth we generated in the quarter, which was again solidly ahead of our guidance. Our COVID revenues came in close to twice our expectation as testing remained similar to the levels we experienced in the second quarter and our teams were again well supplied and ready to meet the incremental demand. This led to adjusted earnings per share in the quarter of $2.31, which was over 40% above our guidance despite the ongoing strong investments back in the business. Overall, we continued to see strong non-COVID demand trends across the business with double-digit growth in all major regions. So while we may be facing a few new headwinds, I feel the team is proactively responding and executing for our customers. Just as we have successfully done over the past few years, we're now up against numerous other pressures across our business and the global economy. While I'm pleased with our strong performance in the third quarter and excited about all our recent acquisitions, I wanted to spend a little more time today sharing some insight into 2 of the newer additions as we haven't had the opportunity to discuss them in greater detail with investors up until this point. First, I'd like to touch on Oxford Immunotec, which we closed back in March. As Steve mentioned, Oxford's Founder and CEO, Peter Wrighton-Smith, has joined us on today's call. As many of you may know, from its days as a stand-alone publicly traded company, Oxford is currently the #2 player in the latent tuberculosis testing market globally. And I think with some of our core capabilities and broader regulatory, distribution and service offerings, the business is well positioned to gain share in the years ahead. In terms of what's been happening since Oxford joined the PerkinElmer family earlier this year, I'm extremely pleased to share that it is on pace to exceed its revenue targets for this year and has been making great progress on rolling out its automation workflows around the world with an anticipated approval for this new workflow in the U.S. next year. I thought it might be helpful to share just some of the ways that 2 companies have been already been collaborating within the first 6 months of being under the same roof. I hope it will give you a feel for the synergy potential we both believe exists. With the help of our integration transformation office, which was set up last year, Oxford and PerkinElmer are already leveraging each other's capabilities in a number of ways, such as integrating our JANUS liquid handlers into Oxford's medium throughput automation workflow that is currently seeking and receiving regulatory approvals around the world, or Oxford's utilizing Nexcelom's Celigo cell counting instruments in its new high throughput automation workflow. In addition, Oxford is also already starting to leverage PerkinElmer's existing field service force to assist with the installation of these automation offerings. Oxford is now beginning to transition from being a developer and manufacturer of diagnostic kits to now offering customers fully automated workflows for TB testing. While it is still early and we have many other plans in process that will play out over the longer-term, those are just a few examples of the initial progress that we are quite excited about. Now I'd like to turn it over to Peter to share some thoughts on the business since becoming part of the PerkinElmer family and maybe some perspective on where he sees the business going in the coming years. Peter?
Peter Wrighton-Smith: Thank you, Prahlad. Our strategy for advancing in the attractive growing latent TB testing market is based on a number of key pillars: firstly, expanding our commercial presence to maximize our penetration of existing and new countries; secondly, dramatically improving our workflow through automating our assay and bringing that new automated workflow to all major jurisdictions worldwide and in a variety of throughputs to suit customers of different sizes; thirdly, improving the economics for our customers and us. This is about reducing our cost of goods to our customers and our advantage, but it's also about capturing more value from the product and service ecosystem created by automation. Being part of the wider PerkinElmer family is helping us to execute better in all 3 of those areas. For example, we're already leveraging EUROIMMUN's presence and field forces to access new countries in South America and leveraging Tulip's presence and relationships in the Indian subcontinent. We are accelerating our automation journey, as Prahlad already mentioned, by adopting PerkinElmer's suite of automation both from core PerkinElmer in the form of JANUS and by utilizing technology from acquired companies such as EUROIMMUN and Nexcelom. We're also able now to capture more of the value from automation as we have a pathway through PerkinElmer's OneSource business and its global supply chain capabilities to sell automation consumables and automation service contracts, both things that we were not equipped to do on our own. We're now also exploring a number of additional COGS reduction opportunities by in-sourcing key raw materials that we currently purchase from third parties. BioLegend in particular, has a number of antibodies and other immunological reagents that we're looking to incorporate into our own immunology-based technology. At the same time, we've been able to streamline our cost structure. Clearly, we're no longer supporting a public company infrastructure ourselves, but more generally, we've been able to reduce our G&A spend by leveraging PerkinElmer's capabilities in those areas. Putting all this together, even just 6 months since becoming part of the PerkinElmer family, we're seeing intensified revenue growth and improved profitability on the bottom line. We're also having growing success in deploying our T cell technology in SARS-CoV-2. Our testing service revenues continue to grow in support of the Phase II and Phase III licensure studies and in support of vaccine deployment decisions under the umbrella of the U.K. vaccine's task force. On the kit side, we're also seeing growing and maturing demand as the important role of T cells has become more widely recognized as a critical means of assessing vaccine efficacy, particularly in immunosuppressed and other high-risk populations. Supported by close to 15 peer-reviewed publications on our technology, T cell testing is now coming into the mainstream in several European countries. We believe this testing will last well into 2022 and probably beyond as we learn to live with SARS-CoV-2 as an endemic mutating global virus. We also see an opportunity to grow our immunology testing services in support of vaccine and pharma clients more broadly outside of SARS-CoV-2. Clearly, we have our own well-respected capabilities in T cell testing. But as part of PerkinElmer, we have 2 other distinct advantages. Firstly, we can leverage the infrastructure of PerkinElmer's global network of specialty clinical laboratories to establish wider worldwide coverage, something of growing importance to vaccine and pharma clients that want to run trials all over the world. Secondly, we're now partnering with BioLegend as their world-leading portfolio of immunology research reagents gives us the expertise to rapidly expand our service offering beyond our own core technology. With that, I'd like to hand it back to Prahlad.
Prahlad Singh: Thank you, Peter. I look forward to seeing the traction we make over the coming quarters. I also wanted to share with you more about our recent acquisition of Immunodiagnostic Systems, or IDS, which closed in early July and may have been a bit overshadowed by our analyst meeting and the announcement to acquire BioLegend. I want to make sure our shareholders know why we are so excited about IDS becoming part of PerkinElmer and what we believe it brings to the overall company. The addition of IDS is a great example of where we expect 1 plus 1 to equal at least 3 and hopefully more. Let me first tell you a bit more about the company. It's a developer and manufacturer of medium throughput chemiluminescence analyzers and assays that was previously publicly traded in the U.K. and have been going through an evolution of its assay menu over the last several years. By adding IDS, we have significantly enhanced our in-house chemiluminescence assay development expertise. This expertise will provide even more resources to support the development and launch of EUROIMMUN's high-throughput, random access chemiluminescent system, Accentis which we expect to introduce next year. Furthermore, by adding IDS's existing mid-throughput RA10 chemiluminescence analyzer and its current installed base to the business. Upon the launch of the Accentis platform, we will then be able to offer a spectrum of chemiluminescence systems and assays to our customers. Also, in just the first few months since the acquisition closed, we have started to leverage each other's commercial and distribution strengths. For example, at the recent AACC meeting in Atlanta, PerkinElmer diagnostics, EUROIMMUN, IDS and Oxford Immunotec, all jointly exhibited and met with customers in-person for the first time. And of course, the addition of BioLegend, which closed in mid-September and was the largest deal in our company's history has kept us busy to say the least. I'm happy that we were able to close the deal several months before the end of the year so that all teams and colleagues involved are ready to hit the ground running heading into next year. While BioLegend has been a part of PerkinElmer for only about 45 days, its financial performance has continued to remain extremely strong and hasn't missed a beat as part of this transition. This is a testament to the strong leadership throughout the BioLegend team who are doing a terrific job in running the business seamlessly for customers, while also working tirelessly to ensure a successful transition to the PerkinElmer family. However, I'm even more excited about the interactions and collaborations that are beginning to take place between the BioLegend team and the broader PerkinElmer organization. As I briefly mentioned earlier, I'm especially looking forward to our upcoming company-wide Innovation Summit that is planned for later this year at BioLegend's campus in San Diego. At this event, we'll bring together R&D, innovation, commercial and operational leaders and experts from across the company for several days to collaborate, strategize and just get to know one another. I can't wait to see all the impactful ideas and connections that come from this event. As it relates to innovation, in early October, we received U.S. FDA Emergency Use Authorization for our PKamp respiratory SARS-CoV-2 PCR assay, which provides for the detection of flu, RSV and COVID in a single assay, which we and others expect will play a larger role in testing during the coming winter months in the Northern Hemisphere. Additionally, our EUROIMMUN business recently received FDA Emergency Use Authorization for its quantitative COVID serology assay, which targets the S1 protein. These 2 new COVID assays add to our existing strong portfolio of serology, antigen and PCR assays, which are being used to -- in the ongoing fight against this pandemic. From a corporate responsibility standpoint, while the world of ESG is still an evolving place, I was enthused to see my colleagues effort at our recent company-wide global impact day held last month, where it was great to see over 350 different group initiatives take place, all led by our colleagues around the world. As you may recall, we outlined our initial ESG-related targets at our analyst meeting in June. And I'm delighted to see efforts already underway to work towards achieving them. For instance, we recently completed a new company-wide employee engagement survey, which we will use to ensure PerkinElmer continues to be a great place to work and a team, everyone is proud to be a part of. The initial results look very positive on all fronts of engagement, diversity and inclusion, and health and well-being perspective. But I'm quite sure there is always room for improvement. Additionally, in our recently released corporate social responsibility report, we have begun reporting under SASB, which has quickly been considered the leading industry standards platform. With PerkinElmer now adhering to this framework, we are building on our historical reporting against the carbon disclosure project, which aligns with the task force on climate-related financial disclosures. I'm confident we have good plans and initial targets in place, and I'm happy to see the company more formally rally around these efforts. In closing, while there always seems to be various external pressures we must face, such as the current semiconductor shortage, logistics bottlenecks and potential global tax reform, I'm proud to see our team continue to proactively navigate these challenges with agility, innovation and a unique and dedicated focus on the customer with strong global teamwork. This corporate character has allowed us to successfully mitigate the impact of these various challenges and provide the opportunity for us to continue to achieve and even exceed our plans, like we did here again in the third quarter. The end of the year is always a busy time filled with commercial activities, strategic and operational planning and both professional and personal commitments, and I expect it to be that way again this year, but I'm confident our teams are up for it. I'd now like to turn the call over to Jamey to provide more detail and perspective on our third quarter results and color as it relates to our guidance for the fourth quarter. Jamey?
James Mock: Thanks, Prahlad, and good evening, everyone. Before turning to the financial results, I want to remind everyone that our third quarter earnings call presentation has been posted on the Investors section of our website under Financial Information. As Prahlad mentioned, it was quite a busy quarter for the company. I believe the team performed extremely well, and we continue to make great traction on executing the transformation of the business from both an organic and operational perspective, but also inorganically as well, which I'll touch on in a bit. Both our COVID and non-COVID revenue performance exceeded our expectations with double-digit growth in both our Discovery & Analytical Solutions and Diagnostics segments. Additionally, the recent additions to the PerkinElmer family remain on track. So we are set up well heading into the end of the year. During the third quarter, adjusted revenue grew 21% compared to last year to almost $1.2 billion and included a 1% foreign exchange tailwind and an 8% contribution from recent acquisitions. Organic revenue grew 12%, 17 percentage points better than our guidance as our non-COVID revenue grew 16% organically, ahead of our 12% assumption, and our COVID revenue did not fall off to the degree that we had anticipated. As it relates to COVID, we generated approximately $300 million of revenue from our related products and services, which was close to double the $165 million we had projected and down only slightly from the $365 million we generated in the second quarter. Approximately $170 million of our COVID-related revenue in Q3 came from core products with the remainder coming from our COVID-related lab services. As also highlighted by others, we saw a noticeable uptick in demand for our PCR tests and RNA extraction kits in the latter half of the quarter, and some contribution from recently awarded testing contracts such as with the Department of Health and Human Services and Mount Sinai. As we have assumed in our guidance, we reduced capacity made available for the State of California in our Lab-In-A-Lab offering at the beginning of the quarter, which brought down its revenue contribution as compared to the first half of the year. However, we did see average daily volumes in the lab increased significantly as the quarter progressed with a number of days in late September, surpassing 40,000 tests per day. I'm extremely proud of what we've been able to accomplish at our lab in California over the last year from setting it up from scratch in under 70 days to immediately and appropriately addressing all workflow challenges that may come up when getting something like this off the ground in such a short period of time and in the middle of a pandemic to successfully meeting and delivering on varying levels of demand on a week-by-week and month-by-month basis. Given the successful contributions, I'm happy to report that our contract with the state for this COVID testing lab has been extended by another year through the end of October 2022. As it relates to our business segments, Diagnostics generated $654 million of revenue in the third quarter, which represented 56% of total revenue and was up 21% year-over-year. Organically, the business grew 13% and was up 25% organically on a non-COVID basis. Geographically, our Diagnostics business was strong around the world, with strong double-digit non-COVID organic growth in all regions. As it relates to our immunodiagnostics franchise, total revenue was up more than 40% in the quarter, with strong growth in both COVID and non-COVID products and services. EUROIMMUN continued to grow robustly and was up more than 20% organically. This business is fantastic and one that we continue to invest in heavily as it is now on pace to do more than $500 million in revenue this year. As Prahlad mentioned, we closed on our acquisition of IDS in early July, and are excited to see the R&D and commercial synergies it can provide with our existing EUROIMMUN franchise. Our applied genomics business, which also falls within our broader Diagnostics segment, continues to take share on our improved brand recognition. While COVID-related sales in the business have fallen off as equipment-related capacity has been built out, we continue to see strong demand for NGS reagents related to COVID variant detection and our high-throughput real-time PCR workstation, the explorer G3 continues to see strong uptick. Our non-COVID revenue was up more than 50% as core NGS and large molecule activities continues to bounce back after being initially hampered during the pandemic and funding continues to remain strong. When I think about all the ways the pandemic has impacted our business, I believe our applied genomics business in particular, is one that is going to permanently benefit over the longer-term as customers now have so much more experience with our high-quality instruments and kits and our sales force is now even better connected with key opinion leaders in this space. In our reproductive health business, while we continue to face pressure globally from declining birth rates, particularly in China, we were again able to grow this business double-digits overall in Q3 through a combination of menu and geographic expansion, new product introductions, growth within our labs business and a modest benefit from easier year-ago comps, particularly in Asia. Turning to our Discovery & Analytical Solutions segment. The business generated $513 million in revenue in the quarter, which represented 44% of total revenue and was up 21% year-over-year. Organically, the business grew 10%, led by continued strength in our life science business with double-digit growth from pharma customers and mid-single-digit growth from academic and government end markets. In our discovery business, we are pleased to have closed on our acquisitions of both SIRION and BioLegend in the quarter and are excited to see their contributions to our growth in large molecule in the years to come. Sales into industrial and applied markets grew in the low double-digits, driven by strong growth in mass spec, while food was up mid-single digits. Looking at the company overall from a geographic basis, we saw double-digit non-COVID growth in all regions and greater than 20% non-COVID organic growth in China. This led to our total company non-COVID organic growth coming in at 16%, which was 400 basis points above our guidance. Operationally, we are extremely pleased with our performance in light of various macro pressures. Our adjusted operating margins of 31% remained strong, driven by volume leverage, favorable mix and productivity programs, slightly offset by continued investment in our talent and culture, research and development, improved e-commerce, network and security infrastructure, digital capabilities and strengthening our customer relationships, which we expect to help drive results in the years to come. Overall, adjusted earnings per share were $2.31, which is up 11% versus a year ago and 43% above our Q3 guidance. As it relates to the balance sheet, we had a lot of moving pieces this quarter with the closing of IDS and SIRION and the financing and closing of BioLegend. We finished the quarter with $5.1 billion of debt and approximately $500 million of cash. Free cash flow was extremely strong in the quarter and so far this year. We generated $324 million of adjusted free cash flow in the quarter, which equates to a 122% conversion of our net income. This brings our adjusted free cash flow so far this year through the first 9 months to over $1 billion with a conversion rate of over 100%. Given these strong cash flows and the better-than-expected earnings, our leverage at the end of the quarter stood at 2.2x net debt-to-EBITDA on a trailing 12-month basis as we added $2.8 billion in new debt to fund the acquisition of BioLegend. It may be a little counterintuitive, but we expect our net leverage to increase over the next few quarters even as we begin to aggressively delever as we expected earnings-related tailwinds from our COVID revenues to come down. As it relates to guidance, we are expecting Q4 adjusted revenues of approximately $1.2 billion, which assumes 8% non-COVID organic growth, $200 million in COVID-related revenues and an 11% contribution from M&A and a neutral impact from foreign exchange. On the bottom line, we are now expecting adjusted earnings per share of $2.05, which assumes approximately $26 million of interest expense, a tax rate of 22% and 126 million to 127 million of diluted shares outstanding. Given our strong performance year-to-date and our confidence in our fourth quarter outlook, I'm happy to report we are raising our full year revenue and earnings guidance for the third consecutive quarter this year. We now expect over $1.4 billion of COVID revenue and at least 15% non-COVID organic revenue growth for the full year. This brings our total adjusted revenue to just under $5 billion, including an 8% contribution from M&A and a 2% tailwind from foreign exchange. We are now bringing our adjusted earnings per share guidance for the year up nearly $1 to $10.81 per share, which equates to 30% year-over-year growth. All of this guidance is detailed on the second to last page of today's presentation as well. As it relates to BioLegend, we expect total year sales this year of approximately $320 million, which would be up 33% from 2020, included in our fourth quarter adjusted revenue guidance is approximately $80 million of contribution. Due to the faster-than-expected close of the deal, we are even more confident in the previously announced accretion of $0.30 and greater than $0.50 in 2022 and 2023, respectively, while there will be a modest dilutive impact in the fourth quarter as a result of the earlier closing. Importantly, integration activities have commenced sooner than anticipated. And as Prahlad mentioned, we are excited about our upcoming company-wide Innovation Summit in a few weeks at the BioLegend headquarters. Additionally, we were able to close on our financing at rates slightly below our deal model and current interest rate levels. So overall, a fantastic outcome, and our teams are off and running. In closing, I'm encouraged as our team continues to perform at a high level. Our organic and inorganic investments are paying dividends now and set us up well looking forward and our transformation of the business to the new PerkinElmer is well underway. We are excited for a strong finish to the year and are well positioned heading into 2022 and the years ahead, not just financially, but also with our people and culture and most importantly, for our customers. With that, I'd now like to turn it over to the operator to begin Q&A.
Operator: . First question comes from Derik De Bruin with Bank of America.
Michael Ryskin: This is Mike Ryskin on for Derik. I want to start with your comments on the COVID lab contract being renewed. That was always an option, but not something that was necessary price paying. So anything you could say in terms of expectation for testing volumes going forward in 4Q and certainly to '22 is something in the $100 million a quarter range, a fair assumption to start? Or are you being even more conservative than that?
James Mock: Mike, so yes, we are proud to have this renewed. The way I think about it is, while it's renewed for a year, really COVID is such a fluid environment, and we continue to work with the state that it's more like a quarter-by-quarter basis. So as you may know, if you read the contract, the state has the ability to cancel within 45 days. So we really only have line of sight to the next 90 days at this point. We also restructured it to take down the capacity to 40,000 tests per day. We also restructured the variable fees. So for the most part, it's a pretty steady base in terms of revenue irregardless of whether it's 20,000 tests per day or 40,000 tests per day, the revenue remains relatively stagnant and the fourth quarter is probably to the tune of about $90 million baked into our estimate.
Michael Ryskin: Okay. Great. And then on the base business, you had some comments on China in the prepared remarks. I was wondering if you can go into a little bit more detail on what you saw during the quarter and sort of how that's trended. There's been a lot of noise there both from a sort of a supply chain perspective, but also just underlying demand. If you could go into more detail on that, both for DAS and Diagnostics, actually.
Prahlad Singh: Yes. Mike, let me just take sort of what the noise that we are hearing. I mean, it goes both whereas the situation in China, as you know, I mean, some news came out this morning around lockdowns in certain provinces and areas. So it continues to remain fluid. And I think -- but overall, for us, as we look at it, including in China, our end markets continue to remain strong, our backlog is the best that it has ever been and both from a China perspective and across, we continue to execute well. So mid-to-longer term, we continue to feel good about China. I think we just have to keep our eyes open and be vigilant about what happens vis-a-vis with the lockdowns that are taking place.
Michael Ryskin: Any sense you could give us the growth number that you saw in the quarter?
James Mock: Yes, it's a little over 20%, Mike. And I would say Diagnostics led the way. DAS was still double digits, but DAS didn't go down as much last year, if you remember, it's a little bit of an easier comp from a Diagnostics perspective because much of the reproductive health and autoimmune testing shut down really in the second quarter last year, a little bit in the first quarter. By the third quarter, it started to come back, but I'd say it's a little bit of an easier comp on the Diagnostics side, but both businesses grew nicely and have for the last 3 quarters here.
Operator: Our next question comes from Tycho Peterson with JPMorgan.
Tycho Peterson: Sorry to press a little more on the China dynamic. But I think one of the questions that's coming up is just on the tender front, right? We've seen Anhui and probably other regions, Sichuan, Yunnan, and  et cetera, following similar policies. So is your view that the tender headwinds around the IVD market could expand nationally over the next year or 2? And what type of pricing impact do you expect? And are there offsets from your perspective with volume?
James Mock: Yes. I mean just building off what Prahlad said, Tycho, I mean, I think we're prepared for that. I think it's inevitable at some point. I don't think localization has been a new thing. It might get a little bit more discussion recently. Now it's kind of impacted some of the Diagnostics products. But we've got 5 sites there. We're localizing EUROIMMUN there. They should be ready to produce locally in 2022. We've got over 2,000 people there. We have terrific local brands. We've got a long-standing relationship. And I think it still comes down to every challenge is a bit of an opportunity. So yes, there might be pricing discussions on tenders, but if you have the best value prop, you can also gain a lot of share. So inevitably, that will come someday, and we'll manage through it, but we have 2 terrific businesses in autoimmune testing as well as reproductive health. And it hasn't hit us yet, but I don't think -- I think it will hit us at some point here.
Prahlad Singh: And Tycho, I think as we've shared in the past, we've already transitioned most of our reproductive health reagents, manufacturing in Taicang. So that transition has already taken place over several years, as Jamey pointed out, this is not something new. This has been -- and immunodiagnostics is a very small component of our overall revenue, so.
James Mock: And I think maybe you saw, Tycho, that the government has come out and tried to say there's no disadvantage for multinational companies that are local in China. So to Prahlad's point, we have the reproductive health side that's local there and the EUROIMMUN side will be local by the start of '22.
Tycho Peterson: Okay. That's helpful. And then a follow-up on just guidance here for the fourth quarter, are you implying that instruments might be down sequentially? And then as we think about 2022, you obviously laid out the 2023 bridge at the Analyst Day. Have any of the underlying assumptions for 2022 change in terms of kind of non-COVID revenue growth in the 5% to 7% range?
James Mock: Yes. So on the instrument side, yes, they will come down really in 2 areas, Tycho. So our applied genomics business from a core perspective or non-COVID, I should say, has been growing like gangbusters. I think over 50% I had in my prepared remarks. So I don't -- I think it's still strong, but I don't think it's going to continue at the 50% level. So we kind of took that down a little bit looking forward here. And then really, we've just put a little bit of cushion on all of our instruments in terms of some of the supply chain disruption that's out there. So we feel pretty confident about the guide and instruments will come down a little bit, but we've been able to manage to it to date then and hopefully, you'll see us beat the guide again here.
Tycho Peterson: Okay. And then on 2022?
James Mock: Yes, 2022. Yes, not too much. I think the way we think about the business in terms of the core growing 5% to 7% and then the numerous acquisitions have all been mid-teens to high double-digit growers, and I don't think anything has changed there. So as we head into 2022, the end market still seems strong, and we feel pretty confident about the 5% to 7%.
Operator: Our next question comes from Matt Sykes with Goldman Sachs.
Matthew Sykes: I just wanted to -- maybe a big picture question. I was curious, the comments you made about Oxford Immunotec in-sourcing some of BioLegend's products. So I'm just wondering, from a big picture standpoint, as you integrate these companies, where you potentially see in-sourcing opportunities? Do you think they're much greater than what you think today? And like anything that you can provide context around maybe quantification of potential in-sourcing opportunities and benefits going forward as you further integrate these companies?
Prahlad Singh: Matt, this is Prahlad. So I'll let Peter talk specifically around Oxford and BioLegend and how that's panning out. But I think, overall, in most cases, what we have seen is around Horizon or Nexcelom, I think initially, when we started putting the story together, to where we are now. The more and more we get to know these companies and the more and more we get to know the technologies, it's easy for us to foresee that 1 plus 1 is definitely more equal -- more than 2. And probably in more cases, more than 3. Just take a look at Horizon and how SIRION fits into the bill, right? The licensing technology that allows us to bring the cell and gene therapy markets together. Going to our customers, being able to look at small molecule and biologics now at the same time, synergies from a commercial perspective, technology perspective, it continues to help bolster the story that we have seen. On the diagnostic side, with the addition of IDS while EUROIMMUN was working on Accentis as a big automated platform, the ability to leverage their RA10 platform, and at the same time, the several assays which they have already qualified now being able to do that both on a smaller platform and a fully automated platform. It gives you a much more expansive menu than what we thought we could leverage. So these are just a couple of examples, and I'll sort of ask Peter to talk specifically around Oxford and BioLegend. Peter?
Peter Wrighton-Smith: Yes. Thanks, Prahlad. So from my perspective, as we have learn more and more about the different aspects of the PerkinElmer family, the opportunity set for us just continues to grow. And PerkinElmer is very unusual in having a huge amount of life science reagents, which a lot of Diagnostics companies, obviously, consumes raw materials in production of their kits. But it goes far beyond that, we are starting to benefit from PerkinElmer's purchasing power as a combined entity. We also have the fact that PerkinElmer makes instruments and a lot of different kind of instruments, which is very helpful for us in our automation journey. And we also have the fact that PerkinElmer has a great service infrastructure. And all of those things mean that companies like us who joined the family then have to replicate and duplicate those capabilities. So from my perspective, I'm seeing ever-increasing opportunities to in-source either products, raw materials or services from the wider PerkinElmer family, and I'm seeing my synergy opportunities that grow as a consequence.
Matthew Sykes: Great. That's very helpful. And then just a specific question. Just DAS margins. You guys have made a lot of progress over the past 1.5 years. And you cited a couple of things with the improvement in operating margins for DAS, mix volume leverage productivity. Of those elements, which can we kind of perceive to be fairly durable? And where do you think the limit might be for increased margin expansion within DAS?
James Mock: I think they're all durable, Matt, I would say mix is probably the biggest beneficiary, particularly in the discovery and life sciences side as that becomes a bigger portion of DAS, it typically comes with higher margins. Now with the addition of BioLegend and now having a $700 million reagent business sitting in DAS, in terms of life sciences, those normally come with pretty high profit margins. So I'd say mix going forward will be durable and probably the biggest driver. Certainly, there are programs that we've been putting in place that we've been talking about in terms of better procurement as we roll out NPIs, refreshing all the configurations and the number of configurations we have and the simplicity of them. We've been doing a little bit around sites, and we've been doing a lot with our service team to be more efficient from a royalty service perspective. So I think all are durable, but I think the quickest biggest impact you get is from mix. And I think that's what you're seeing in DAS this quarter with life sciences growing double-digits here.
Operator: Next question comes from Vijay Kumar with Evercore ISI.
Vijay Kumar: Jamey, one on the guidance, and I had one for Prahlad, big picture. On Q4 here, so the base non-COVID business, organic of 8%, considering that you guys just did 16% in 3Q, your comps don't get materially harder. So I'm curious what that 8% is contemplating in Q4? Is there some China noise? Or is this just a conservatism on your part?
James Mock: Yes, it's a good question, Vijay. I think it's probably more towards the conservatism side. So I'd start by saying the end markets are terrific right now. All of them have been growing at least mid-single digit for us, many well north of double-digit. Our backlog has grown substantially this year and even over the last quarter. I think the little bit that we put into the fourth quarter here, you can call it conservatism, is 2 things basically, any impact from any potential supply chain disruption, which we can talk about more, but we haven't seen too much of today, and that includes transportation as well. And then anything that's going on around COVID lockdowns, particularly in APAC. So -- and we have seen pockets of it, particularly in our newborn screening business in places like the Philippines and Vietnam, where our screening has just been reduced. So those are the 2 factors that we put in. Otherwise, the end markets have been strong. We're not too concerned about it. The backlog is up. So hopefully, it proves to be conservative, but I think it's a prudent thing to do at this time.
Vijay Kumar: That's helpful, Jamey. Prahlad, one for you. I think most of your peers, we've had a number of Analyst Days heading into the earnings season. And the message from your peers is we're emerging stronger from the pandemic. And if I look at your business, all the acquisitions, you guys have done these are growth accretive, and some of them perhaps even transformational. And I think I just heard you guys talk about fiscal '22 as being in line with LRP, 5% to 7%. Is there something different about Perkin, why you guys shouldn't be in this emerging stronger from pandemic bandwagon or I'm curious on the 5% to 7% versus how your peers are messaging?
Prahlad Singh: I mean look, Vijay, I think we extensively talked about this at the Analyst Day and then even at the end of the last earnings call. I could not be more confident about the future of PerkinElmer than I am today. The end markets that we are playing in, the portfolio alignment that we have done around growth markets of life sciences and diagnostics, and the team and the talent that we have put in place, and that's executing on all cylinders. So there is no hesitancy on our part in saying that the future is very bright. And if you're asking specifically around 2022, I don't think we are doing guidance right now, but Jamey is there.
James Mock: Let me just clarify one thing, Vijay, just about the 5% to 7%. The 5% to 7% is on the core business before all the acquisitions. So just to make sure everybody is clear about that, the 5% to 7% ultimately will not be 5% to 7% when we roll on the acquisitions. So Oxford will roll in there in 2022 into our organic base, Horizon, Nexcelom all these -- that will raise the 5% to 7%. We were just going back to our long-range plan to say, look, we broke it up into 2 things at the time. One was before the acquisitions, that goes 5% to 7%, then here's the 9 acquisitions we've done. That grows obviously more than 5% to 7%. And then BioLegend by itself is obviously very impactful as well. So the 5% to 7% was prior to the acquisitions. The acquisitions will ultimately make that higher.
Operator: Next question comes from Patrick Donnelly with Citi.
Patrick Donnelly: Prahlad, maybe picking up on that last one on the acquisition growth rate side. I know BioLegend is only closed for about 1.5 months. But can you just talk about the revenue synergy opportunity there, particularly with some of the more recent acquisitions. It seems like a pretty significant one. And now that you've had some people in the same room, can you just talk about how you're feeling about those opportunities and what we can expect there?
Prahlad Singh: Yes. I mean you heard from Peter around Oxford, Patrick. I mean he elucidated pretty well. The technology synergies, the opportunities around service, commercial. And then I think the theme is the same across the Board, whether you look at Nexcelom or Horizon. The ability to be able to leverage our commercial presence, which is direct in more than 180-plus countries, which most of these companies do not have access to that are distributor manage. Then the second one is around technologies. The portfolio that we bring together around instruments, around service is much -- is very helpful for the acquired companies. And the third one, obviously, is around technology. As these discussions and interactions happen, I think Peter gave an example around a couple of them and even with BioLegend, we've become one of our primary source of raw material supply that we want from antibodies. So I think those are the 3 elements that I would point out to. And just to give you an example, and I think Jamey or I mentioned during our prepared remarks, we are having an Innovation Summit at the BioLegend campus in a couple of weeks, where our approach is around 3 verticals or 3 pillars: cell and gene therapy, diagnostics and everything else around genomics, and what the opportunity is for us to leverage the synergies that we can see, primarily from a technology perspective. So I think we'll continue. And then hopefully, over the next couple of months, we will be able to provide more detail around that. But Patrick, hopefully, that gives you a sense of how we are looking at this.
Patrick Donnelly: No, that's definitely helpful. I appreciate it. And Jamey, in one of the responses you kind of offered to touch a little bit on the supply chain, I'll take you up on that offer. Yes, if you could just talk about what you're seeing there, any potential pressures? And then secondarily, just on the classic inflation labor question in terms of how that's impacting margins, you're passing that along to customers, would be helpful.
James Mock: Yes. Sure. I mean, we certainly see it both on the disruption side. And I would say it's a little bit easier for us for mostly air versus any kind of water travels from a shipping standpoint. From a supply chain perspective, we've been all over. The team has done an amazing job. I think there was a very minor impact to the third quarter and our backlog obviously grew substantially as well. Inflation, we started to see it. We're looking at what we're doing around price and putting some things into effect right now. But we also had some good things to do. As you might remember, we've been talking about a refreshed procurement process. So we've been able to mitigate some of this. So it's certainly there, Patrick, and we're dealing with it. But we've got a happy medium here where we've got a good size from a scale perspective company, but also we operate very -- in a very agile fashion. So team has been doing a great job managing through it. We put a little bit of buffer into the fourth quarter here, as I mentioned, it will be a non-impact for us.
Prahlad Singh: Yes. I mean, I would sort of reemphasize that. I really feel strongly that our size and scale gives us more speed and agility than one would imagine to be able to rapidly marshal resources around some of these challenges. And then I think the COVID has -- the COVID pandemic has taught us how to become much more agile and much more reactive to such challenges.
Operator: Our next question comes from Brandon Couillard with Jefferies.
Brandon Couillard: Jamey, just a 2-part question for you. Given all the moving parts and all the acquisitions, could you just help us sort of frame how to look at gross margins and OpEx in the fourth quarter? And then secondarily, is 22% tax rate a good assumption to pencil in for next year?
James Mock: Yes. Thanks, Brandon. So gross margin specific to the fourth quarter, I would assume it comes down a little bit here, Brandon. So with COVID being $300 million in the third quarter, going down to $200 million in the fourth quarter, you'll see that come down a little bit. And then the core comes up, so we always have a bigger volume quarter in the fourth quarter. So I would expect gross margins to tick down a little bit. Tax rate for 2022, I think, is anybody's guess based on tax reform out there. So certainly, I think we guided to 21% this year versus a couple of years ago, I think we were 16% or something like that. And obviously, COVID has played a big role in that with greater income and higher tax jurisdictions. So I think our tax rate in 2022 is dependent upon 2 things: one, your view on COVID and how much revenue will be there from that because it comes typically with a higher tax rate; and two, what happens with tax reform. So today that has not been changed, but none of our assumptions have taken into account any kind of particular tax reform changes. So hopefully that helps, Brandon.
Operator: Our next question comes from Josh Waldman with Cleveland Research.
Joshua Waldman: Just 2 for you. First, a follow-up on the non-COVID business. You obviously came in well ahead of your guide. Just wondered if you could provide more context on where all you experienced outside versus plan. Was this solely tied to kind of better-than-expected growth in non-COVID DX or did DAS also outperformed?
James Mock: No, DAS definitely outperformed as well. I would say life sciences continues to remain strong. applied markets or our analytical technology products was strong for us again. And on the DX side, I mean, really, EUROIMMUN has done extremely well and has continued to do well. But I'd just say our applied genomics business ex-COVID has continued to be quite strong. So I think that probably surpassed our expectation to have the third quarter in a row that I think we've been over 30%, 40%. So that's probably continues to hang in there. And I mentioned in my prepared remarks that, that business, our brand recognition there is probably one of the biggest benefits that we have coming out of COVID here.
Joshua Waldman: Got it. And then as we think about the longer-term guide you laid out at the analyst meeting in June, I guess, given the improved FY '21 outlook since that time, and it sounds like a higher level of expected cost synergies going forward, I mean, should we view this as positively impacting how you're thinking about the long-term targets? Or is it more just kind of a derisking of those targets?
James Mock: I think it could be both, it could be both, Josh. I mean we've continued to invest through this. And certainly, I mentioned in my prepared remarks, we're investing in our talent and culture. We're investing in extra R&D, particularly on the core business as a percent of sales that is far up. We're investing in digital. And all these things will be -- and we believe benefit us moving forward here. And should there be extra sales and extra income, we still feel confident in the margin expansion targets, but it also provides for an opportunity to continue to reinvest back in the business. So I think it's a bit of both its either derisk and/or we can make additional investments or you'll see some upside come through versus our long-range plan.
Operator: Our next question comes from Paul Knight with KeyBanc.
Paul Knight: On the Discovery & Analytical very strong growth, could you talk about what were the technologies, I would assume that applied due to petrochemical must be strong, but color there would be great.
James Mock: Sure. Yes. I mean, Paul, well, now life sciences makes up over 60% of DAS. So I'll start there. And in particular, our discovery business, both on a lot of the NPIs we've had in terms of our high content screening business, some of our in vivo products have been operating terrifically. On the reagent side, it's been strong across all regions. We've had a nice cadence of NPIs, different application areas in terms of oncology, and cell and gene therapy have been strong for us. So life sciences, those are a few of the areas. In the analytical and applied markets, Paul. So it's been more on the semiconductor side, I would say, chemicals and energy was pretty strong for us. And so we launched our Triple Quad. And so our ICP and ICP mass business has been extremely strong for us. But I think in general, the whole analytical technologies portfolio, we've had a better cadence of NPIs, which has been proving to benefit the DAS business. And so that's why I see continued strength there.
Paul Knight: Do you think you're gaining share on the DAS side of the business?
James Mock: I believe so in the life sciences side, on the analytical technology side, I think particularly in spectroscopy, we've always had good share. Hard to say whether we're gaining a lot of share at this point.
Operator: And I'm currently showing no further questions at this time. I'd like to hand the conference back over to Mr. Prahlad Singh for closing comments.
Prahlad Singh: Thank you, Norma, and thank you all for dialing in today. We are very excited and remain very excited with the trajectory on which the new PerkinElmer is embarked on and are very proud of the accomplishments that the team has achieved in the third quarter. And I'm very thankful to my 15,000 colleagues around the world for their continued hard work and contributions. I look forward to speaking to you all soon. Please stay safe and healthy. Thank you.
Operator: And this concludes today's conference call. Thank you for your participation. You may now disconnect. Everyone, have a wonderful day.